Operator: Greetings, and welcome to the U.S. Silica Second Quarter 2019 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mr. Michael Lawson, Vice President of Investor Relations and Corporate Communications for U.S. Silica. Thank you. You may begin.
Michael Lawson: Thanks. Good morning, everyone, and thank you for joining us for U.S. Silica’s second quarter 2019 earnings conference call. With me on the call today are Bryan Shinn, President and Chief Executive Officer; and Don Merril, Executive Vice President and Chief Financial Officer. Before we begin, I would like to remind all participants that our comments today will include forward-looking statements, which are subject to certain risks and uncertainties. For a complete discussion of these risks and uncertainties, we encourage you to read the Company’s press release and our documents on file with the SEC. Additionally, we may refer to the non-GAAP measures of adjusted EBITDA and segment contribution margin during this call. Please refer to today’s press release or our public filings for a full reconciliation of adjusted EBITDA to net income and the definition of segment contribution margin. Finally, during today’s question-and-answer session, we would ask that you limit your questions to one plus a follow-up to ensure that all who wish to ask a question may do so. With that, I would now like to turn the call over to our CEO, Mr. Bryan Shinn. Bryan?
Bryan Shinn: Thanks, Mike, and good morning, everyone. I’ll begin today’s call by reviewing the highlights that drove our strong second quarter performance and then I’ll provide an update on changes we’re making to our capital allocation plans and priorities as we start to generate an increasing amount of cash flow going forward. I’ll conclude my prepared remarks with a market outlook for both our Industrial and Oil & Gas segments and explain why we remain very excited about the opportunity to continue to grow and diversify our company while at the same time enhancing our sustainable business model. For the total company, second quarter revenue of $394.9 million represented a sequential improvement of 4%. Solid execution from both operating segments generated better than expected adjusted EBITDA of $85.5 million. Our Industrial and Specialty Products business delivered 21% year-over-year improvement in contribution margin in the second quarter to a record $50.1 million even though total tons sold declined 5% from 2Q18 to 2Q19. We believe this clearly illustrates that our strategy of repositioning to deliver more higher value, higher margin products is clearly working. This is why our volumes have remained relatively flat, while our contribution margin has been growing at double-digit rates over the last five years. We also had several exciting developments during the quarter in industrials including signing of a long-term supply contract with a leading consumer products company to provide a high value custom product for a new product launch. Initial sales of ground silica to a large new customer under long-term contract and we started up and began production at our new Millen Georgia facility where we will produce specialty heat treated products like EVERWHITE for high end quartz countertops and also our next generation of cool roof granules. In our Oil & Gas segment, we sold a record 3.9 million tons, up 2% sequentially as we continue to ramp our new West Texas capacity exiting the quarter at a 7.2 million ton annual run rate. Volumes in Oil & Gas were negatively affected in the quarter due to the flooding in the Midwest, which took our Festus, Missouri plant offline for nearly two months. Oil & Gas contribution margin of $71.5 million was better than expected due to strong performance from SandBox, our industry-leading last-mile logistics solution, and a rebound in Northern White sand pricing. We continue to experience pricing pressure in West Texas during the quarter, which was more than offset by reduced operational costs, some of which may not repeat in the third quarter. We signed several new Oil & Gas contracts during the quarter, including two with energy companies for Northern White sand illustrating the rebounding demand for high quality Northern White sand through our industry-leading distribution network. SandBox delivered another quarter of record performance with loads up 14% sequentially and June exit load volumes hitting an all time high. We continue to grow market share and estimate that we ended the quarter with approximately 27% market share of delivered sand. During the quarter, we also completed one of the highest volume jobs in SandBox history for a major E&P in Texas, delivering over 8,000 loads while driving nearly 1.4 million miles with zero safety incidents and zero non-performance time at the well site due to sand. Quite an amazing accomplishment and a testament to the strength of the SandBox value proposition. Let me now provide you with an update on U.S. Silica’s capital allocation plans. Historically, we’ve taken a consistent and balanced approach to managing our capital and I think we have a very good track record when it comes to our uses of cash. We’ve strategically invested in M&A with acquisitions such as SandBox Logistics and EP Minerals, and we’ve successfully invested back in the business by expanding our Oil & Gas capacity. We’ve also been very diligent in returning cash to our shareholders, either through meaningful share repurchases or a quarterly cash dividend, which we’ve now paid out for 25 consecutive quarters. After successfully executing a significant growth and diversification strategy over the last three years, we’re transitioning to a more targeted growth plan, which will take us from a net cash consumer to a net cash generator as a company. For example, you could begin to see the cash generating power of this plan in Q2 as we generated $32.8 million of free cash flow after CapEx and dividend payments. Going forward, we’re modeling substantially lower CapEx, minimal investments in Oil & Gas sand, and stable dividend payments. Given that we expect to have the ability to use some of our free cash flow to reduce debt over time. We’re targeting a reduction of our gross debt to adjusted EBITDA leverage ratio to three times or less by the end of 2021 through a combination of debt retirement and profitable growth. We intend to continue to invest in bolt-on type growth projects for ISP business that have high returns and low risks like our new Millen facility and we’ll also continue to invest in next generation equipment for SandBox like our bigger boxes and solar powered stands to continue to grow share. We will of course continue to be opportunistic about share repurchases, but when it comes to choosing between the two, we think that as currently more prudent to delever the balance sheet and we expect to start retiring debt in Q3. Now let me conclude with market commentary starting with industrials. Some analysts have warned recently of potential economic difficulties ahead, but we’ve yet to see any shifts in customer demand that would indicate a slowdown or imminent recession. We’re experiencing strong demand for our basic and performance materials products across a wide range of industries and continue to expand our capacity in both ground silica and functional coatings. As I indicated on our last earnings call, we’ve installed new management at EP Minerals and plan to drive organic growth above historical rates through the introduction of new products and entry into new market segments. For example, we’re currently pursuing several potential growth platforms in areas like high purity filtration in the pharmaceutical, rubber and polymers industries. Our current outlook for Industrials is for a strong Q3 with a normal seasonal slowdown in Q4. Moving to market commentary for Energy, the last mile logistics market continues to be competitive with a recent new entrance into the silo space. Our SandBox unit is driving by providing a differentiated full service offering to operators and service companies alike. Moreover, SandBox continues to make efficiency gains that drive substantial savings for our customers. Examples of this include bigger boxes, minimal NPT and technological improvements that boost operational efficiency and reduce labor cost. We also continued to explore other new oilfield segments and new industries for SandBox expansion. Finally, turning to the outlook for our Oil & Gas segment. Third quarter Oil & Gas contribution margin dollars are expected to be relatively flat. We expect stronger overall sequential volume with some further pricing weakness in the Permian, although some of that pressure maybe offset by the rebound in Northern White sand pricing. Our cost per ton continued to come down, especially in West Texas. U.S. Silica is at the very low end of the cost curve and we will continue to differentiate our frac sand business on logistics, partnering with SandBox and targeting customers who continue to demand higher sand volumes driving a need for value-added logistics services. We do expect to see some softening in the fourth quarter, as oilfield activity levels are anticipated to moderate as producers focus on living within their cash flows. And with that, I’ll now turn the call over to Don. Don?
Don Merril: Thanks, Bryan, and good morning everyone. First I’d like to reiterate Bryan’s comments on delivering a very strong second quarter, in which we generated $85.5 million of adjusted EBITDA with improved operating performance across the company. As far as our segment results are concerned, second quarter revenue for the Industrial and Specialty segment was $121.8 million, up 3% from the first quarter of 2019 and an increase of 18% when compared to the same quarter last year. The Oil & Gas segment revenue was $273.1 million, up 5% from the first quarter of 2019, due mostly to continued growth in our SandBox operation and an increase in proppant tons sold. On a per ton basis, contribution margin for the Industrial and Specialty segment set a record of $51.61, representing a 12% increase in the first quarter. Lower plant costs, price increases and the normal seasonal mix of higher margin products sold during the quarter contributed to the increase in contribution margin per tons in this segment. Looking ahead, third quarter contribution margin for the Industrial and Specialty segment should be very similar to the margins achieved in the second quarter, as historically, these are the two most profitable quarters of the year. The Oil & Gas segment contribution margin on a per ton basis was $18.17 compared with $15.16 for the first quarter of 2019, largely due to strong performance from our SandBox business, a rebound in Northern White sand pricing and reduced operating costs, some of which may not repeat, partially offset by slightly weaker pricing in West Texas. As Bryan noted, we would expected segments contribution margin dollars to be relatively flat versus the second quarter of 2019. Let’s now look at total company results. Selling, general and administrative expenses in the second quarter of $38.7 million, represent an increase of 12% from the first quarter of 2019. The actual results were higher than the guidance given last quarter, due mostly to increase compensation expense and expenses related to our Frederick office facility closure. We expect SG&A expenses to be similar in the third quarter when compared to the second quarter of 2019. Depreciation, depletion and amortization expense in the second quarter totaled $44.9 million, an increase of 1% from the first quarter of 2019, driven by our plant capacity expansion and our acquisition of EP Minerals. We expect DD&A to be flat to slightly up in the third quarter when compared to the second quarter. Our effective tax rate for the quarter ended June 30, 2019, was a benefit of 28% including discrete items. The company believes our full year effective tax rate will be a benefit of about 36%. Moving on to the balance sheet. As of June 30, 2019, the company had $189.4 million in cash and cash equivalent and $95.2 million available under its credit facilities for a total liquidity amount of $284.6 million. The company increased the cash balance by $27.8 million during the quarter due to strong cash flow from operations of $71.6 million and reduced capital spending versus the first quarter of this year. Additionally, the company’s net debt was under $1.1 billion at the end of the quarter. Capital expenditures in the second quarter totaled $34.1 million and were mainly for engineering, procurement and construction of our growth projects, primarily at our Lamesa, Texas mine as we near completion of that project, equipment to expand Sandbox operations, several growth projects in our Industrial and Specialty segment and other maintenance and cost improvement capital projects. At this point, we expect capital expenditures of approximately $125 million for the full year 2019. As I’ve said in the past, these expenditures will be within our operating cash flow and the remaining quarters of the year are expected to be free cash flow positive. As we evolve into a more industrial focus cash generation company, we should have the flexibility to delever our balance sheet and make it even stronger, for the target leverage ratio of three times or lower by the end of 2021. And with that, I’ll turn the call back over to Bryan.
Bryan Shinn: Thanks, Don. Operator, would you please open the lines for questions?
Operator: Thank you. At this time, we’ll be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Marc Bianchi with Cowen. Please proceed with your question.
Marc Bianchi: Thank you. I wanted to start by discussing the CapEx plan and kind of your overall cash reduction plan. I’m looking at the $125 million for this year and I think in the past we’ve discussed a maintenance level closer to $50 million overall for the company. Could you help bridge from the $125 million to that maintenance maybe what to think about for 2020? If I’m doing the math right, it looks like you’re kind of in the $20 million to $25 million per quarter here in the back half of the year. But just kind of curious, how you guys are thinking about that progression?
Bryan Shinn: Good morning, Marc, and thanks for the question. As we look at maintenance CapEx, we’re typically more in the $25 million range. So I think that kind of forms the base, if you will of our CapEx. And as I look forward to 2020, I would say that we’ll probably be somewhere in the $60 million to $80 million range. We’ve got a few things that we’ll continue to invest in on the industrial side of the business, building out of some facilities that we need to satisfy new contracts and new products that we’re currently developing. And obviously we’ll still continue to invest a bit in SandBox as well, but I think $60 million to $80 million in that type of range is probably the right number for 2020.
Marc Bianchi: Okay. Thanks for that Bryan. And then I guess maybe looking more specifically to third quarter here, if I have the guidance kind of right and my calculation here, you’re looking for essentially flat EBITDA about $85 million on an adjusted basis. Interest expense is $25 million. So we could have cash from ops approximately $60 million, curious if there is any other things we should be considering. And then again the CapEx piece being in the low 20s yielding something in the maybe $35 million to $40 million of free cash for third quarter. Am I thinking about all those components right? Or is there anything else we should be considering as we do the bridge to third quarter?
Bryan Shinn: I think as usual Marc here, you’re right on it. That that is probably our base case obviously with the Oil & Gas markets being what they are. You know how the third quarter is going to end up. So I would say to the extent, there is any risk its in deterioration in Oil & Gas volumes on the sand side and maybe to a lesser extent on the SandBox side. As we get into the back half of the quarter, we haven’t really seen much of that so far, the quarters started off pretty well, but the things can change pretty quickly in that part of our business. So we’re keeping a close eye on that. But I think the way you described is pretty accurate from my perspective.
Marc Bianchi: Okay, great. Thanks, Bryan. I’ll jump back in the queue. I’ll let others come on.
Bryan Shinn: Thanks, Marc.
Operator: Thank you. Our next question comes from the line of Scott Gruber with Citigroup. Please proceed with your question.
Scott Gruber: Hey guys, good morning.
Bryan Shinn: Good morning, Scott.
Scott Gruber: Thing on the third quarter, Bryan, you mentioned that the contribution margin dollars for Oil & Gas would be flattish, but volumes are still up about 10%. Can you just talk about the different moving pieces in there is SandBox volumes expect to be down on sort of a completion activity, pricing, how that’s have been for Oil & Gas and SandBox as well, some of the components around that, that 3Q guide, especially with volumes expected to be up.
Bryan Shinn: Sure. So as you said, we’ll expect to see volumes up in Oil & Gas. I think load volumes in SandBox should be up just a little bit. We’re baking in the fact that that would probably be some pricing deterioration as we talked about just a minute ago with Marc, we’re sort of assuming the worse that perhaps a things get a little bit dicier as we get to the back part of the quarter here. As I said, we haven’t seen that yet, but it seems like there’s a lot of talk on the street around some deterioration in Q3, so we’ll see how that plays out. So generally, that’s how we’re thinking about it. But the business looks pretty strong on the Oil & Gas side quite frankly. SandBox is going extremely well. Sand volumes are up. Northern White sand seems to be rebounding volumes and pricing are actually up there. So I think there’s a lot to be optimistic about as well.
Scott Gruber: And so the pricing concern that’s primarily on Oil & Gas volumes primarily in the Permian or is there any concern around logistic pricing at this point?
Bryan Shinn: Not really logistics, it’s more just sand pricing volatility. What spot pricing will do in the Permian, obviously we have a lot of our business locked down under contracts on the Oil & Gas side. So that provides a good chunk of stability there. But spot prices can move pretty dramatically. It is interesting though, I feel like we’re starting to see some stability in pricing, particularly in the Permian. If you look at some of the competitors that we have out there today, some of them have reduced shifts at their mines. We’re hearing that there might be some mines are actually shutdown in the Permian in Q3. And I think perhaps into Q4 particularly things deteriorate in Q4 as they typically tend to do in Oil & Gas. That’s really going to put a lot of pressure on some of the folks out there who might be just sort of teetering on the ability to operate and generate any kind of earnings of cash. So we’ll see how that kind of plays out, but it’s based on what we’re hearing, I would expect us to see some mine closures and some consolidations out in the Permian mine landscape, which I feel like will be a constructive to pricing and margins as we go forward here.
Scott Gruber: Just stepping back, I mean the pieces sound better than flat margin dollars are just kind of a lack of visibility that lead you to that forecast.
Bryan Shinn: I think that’s a piece of it. And just caution quite honestly. We haven’t seen much deterioration yet, but just the talk on the street is that things are going to get worsen in the back half of Q3, we’ve listened into other earnings calls that have gone before us here in the quarter. And most people are talking about things getting worse in the back half year. So I feel like we’re better positioned than most, but we want to be a bit conservative in our forecast.
Scott Gruber: Okay. Appreciate the color. I’ll re-queue. Thank you.
Bryan Shinn: Okay. Thanks, Scott.
Operator: Thank you. Our next question comes from the line of Stephen Gengaro with Stifel. Please proceed with your question.
Stephen Gengaro: Thank you, and good morning, gentlemen. I guess two things that are really follow-ups on what has been asked, but you mentioned I believe two Northern White contract extensions or new contracts during the quarter. And could you speak to kind of what that pricing looks like versus where the spot market is?
Bryan Shinn: Sure, sure. Happy to do that, Steve. We have some pretty exciting developments on contracts this quarter for Oil & Gas. Two contracts we signed were extensions of large contracts that we already had and then two were brand new, that the two that were brand new were Northern White sand direct contracts with energy companies. And so feel really good about that. There’s been a lot of debate around how fast or if Northern White is going to make a comeback. And I think we’re definitely starting to see the early innings of that. And I particularly like that the Northern White sand contracts we signed with energy companies, my experience is that energy companies have a much better visibility as to what they’re, if they’re going to use in terms of profit as opposed to the service companies who obviously move around a lot and work for different energy companies. So it was important to me that as an indicator that these two contracts got signed in terms of pricing, that we’re very happy with the pricing in these contracts. Obviously, we can’t talk specifics for a competitive reasons, but I think that Northern White is definitely starting to make a bit of a comeback here.
Stephen Gengaro: Can you say if they’re going East and West versus South?
Bryan Shinn: In terms of basins, you mean or pricing, what do you mean?
Stephen Gengaro: Yes, in terms of basins. Yes, in terms of basins.
Bryan Shinn: So it’s not a lot in the South at this point. It’s more sort of East and West in terms of these contracts. I think one of the other items that’s been widely discussed is Northern White sand in the Eagle Ford. So if you get into South Texas, we’re starting to see some early signs of Northern White demand there. It’s interesting, a lot of the completions that are being done there are in parts of the shale where the closure stresses are pretty darn high and several energy companies are not having success would be local sand there. The quality’s not very good. So I think we’ll see kind of the next leg up in Northern White demand be driven by that trend in the Eagle Ford.
Stephen Gengaro: Great. Thank you. And then just as a follow-up, when you think about SandBox, I mean we increasingly hear about kind of more integration of the transportation with well site solutions. Could you just remind us kind of SandBox’s positioning as it pertains to that sort of kind of larger opportunity on the well site logistics side?
Bryan Shinn: Sure. So if you look at SandBox and how we’re positioned, we have a wide range of offerings to customers, but the one that’s most popular is our full service offering, which basically means we provide essentially everything for the customer. So we have our people, it’s our sand. It’s our folks on the well site, it’s our drivers. It’s in many cases, our trucks as well. And we also have the logistics solution kind of the backbone that we built to go with that. And we work hand in glove with either the energy company or the service company. And literally, I think we’re the only company out there who’s doing this that has our own full time employees on the well site integrated in with the crews. And that gives us tremendous visibility and also helps us drive better efficiency, which means lower costs for our customers.
Stephen Gengaro: Very good. Thank you.
Bryan Shinn: Thanks, Steve.
Operator: Thank you. Our next question comes from the line of Connor Lynagh with Morgan Stanley. Please proceed with your question.
Connor Lynagh: Thanks. Good morning, guys.
Bryan Shinn: Good morning, Connor.
Connor Lynagh: Wondering if we could talk a little more about the outlook on pricing for Permian sand in particular. So when you’re talking about pricing being lower in the third quarter versus second quarter, how much of that is pricing that you already gave up in the second quarter like run rate effect versus just some conservatism or expectations of further pricing declines?
Bryan Shinn: So I think it’s more conservatism on things to come quite honestly. You can sort of see our run rate from Q2 already cooked into the numbers. I feel like it’s more on things to come as opposed to things that have already been solidified Connor.
Connor Lynagh: Okay, that’s fair. And I know you guys do a fair bit of tracking of supplies. So are we at a point where supplies is flat to down in the Permian? I mean you’re pointing out potential for mine closures. But if they’re more supply sort of ramping as we move through the year, just generally from you and your competition.
Bryan Shinn: That’s certainly not what we’ve seen. I think it’s going in the other direction. I believe that we’re going to see supply come offline. As I said earlier, I think we’ll actually see some mine sites closed. We’ve already heard rumors of a couple of those. And particularly if things get a little bit tougher here in the back half for some period of time, it’s going to make it a difficult decision for current competitors who are actually losing cash on every time they produce. So that’s when it becomes tough when you have to attach a $20 bill every time that you ship out. My experience is that people don’t continue to operate very long in that kind of an environment.
Connor Lynagh: That’s fair. Makes sense. Thanks, guys.
Bryan Shinn: Thanks, Connor.
Operator: Thank you. Our next question comes from the line of Chase Mulvehill with Bank of America. Please proceed with your question.
Chase Mulvehill: Hey, good morning. I guess I wanted to come back and talk about the balance sheet a little bit and you put some nice leverage ratio targets out there three times at the end of 2021. Could you maybe help us kind of understand what’s the implied gross debt target in that three times leverage ratio?
Don Merril: Yes. Chase, it’s Don. Look let me give you a little bit more detail around the thought process there. Our assumption is that we’re going to require somewhere between $200 million and $250 million cash available to buy down our debt. And the high end of that range assumes that we’re not going to see any growth from Q2, right. So we think that’s relatively conservative. And if we look at historical growth rates in the growth side of our business ISP and the SandBox business that’s what drive that lower number closer to $200 million. So at the end of the day, that’s what we’re looking at as far as is our gross debt.
Chase Mulvehill: Okay. That’s helpful. Appreciate the color. The follow-up, you’ve got a few charges that showed up in the quarter, one with merger and acquisition related charges of about $6.1 million. So maybe if you can kind of highlight and kind of talk to kind of what that actually was and then on the facility closure cost, do those go away in 3Q and then the startup and expansion cost of $3.7 million when did those go away?
Don Merril: Sure. So on the M&A charges of $6.1 million, $4.5 million of that approximately is a charge that runs through the P&L associated with the step up value of the inventory when we purchase EP Minerals. So it’s a non-cash charge that artificially reduces overall margin. So we add that back to show the real earnings power of that business. The other roughly $1.5 million, as Bryan stated earlier, we did do some management changes at EP Minerals. And there were some severance charges that we put in that line as well. So that goes away in Q3, but that $4.5 million of EP Minerals step up value of inventory probably sticks around until maybe halfway through the first quarter. So I would anticipate $4.5 million in Q3 maybe a little bit lower in Q4 and then in the $2 million range in Q1, and then that line as far as those charges go – would go to zero. You also asked about plant capacity. The plant capacity charge of $3.7 million really was made up of two different things. We still have some startup charges out in our Lamesa Texas facility that was about $2.5 million and that’s just the inefficiencies of getting that up. We are in the last stages or phases of that. So I could see that being roughly cut in half in Q3 and gone in Q4. And then we also had some startup costs associated with the Millen facility, which I’m very happy to say came up ahead of schedule and under budget. So there’s only a few of those in my career I can talk about, but that was very, very well done by the team on the industrial side. And I believe the other question you asked was about facility closure. The majority of that was related to our Frederick Office facility. We had – let’s just say about half of that was Frederick and the other half of it had to do with our Voca facility closure. The Voca facility should experience very little charge in Q3. But we should have roughly the same amount of the facility closure for Frederick in Q3. And that’s mostly related to the stay bonuses that we offer to all those great people up in Frederick, who chose not to relocate here to Katy. So and when we move into Q4, that line should be again approaching zero.
Chase Mulvehill: Okay, all right. Very helpful. I’ll turn it back over. Thanks, Don.
Don Merril: Yes.
Operator: Thank you. Our next question comes from the line of George O’Leary with Tudor Pickering Holt. Please proceed with your question.
George O’Leary: Good morning, guys.
Bryan Shinn: Good morning, George.
George O’Leary: Good quarter, but just curious the Oil & Gas volume guidance for the third quarter stands out as pretty impressive in a frac market where it feels like activity may had wrong direction. So just curious what drives the primary drivers of the confidence there? Is that mostly SandBox market share capture? Is that some of the weather issues that you guys experienced in the second quarter abating? Or did you guys just have a good volume level in June that you can kind of extrapolate out to get to the 10% growth quarter-over-quarter? Just curious that the drivers because that is an impressive volume growth number that you’re guiding to in the third quarter.
Bryan Shinn: It’s a number of things, George, particularly on the sand volume side. We continue to ramp up at Lamesa crane is basically running at full rate or pretty close to it. Unlike almost all of our competitors out in West Texas, we stayed pretty much fully sold out. And if we can make a ton at in West Texas, we can sell it. And I think it’s a testament to the location of our sites and the very quick turn times that we have some of the fastest turn times for trucks in the industry, so that’s one. Second is, as you mentioned the weather last year impacted us somewhat our Festus, Missouri site, which is just outside of St. Louis for example, was actually a shutdown for two out of the three months in Q2. And that was because of either water or flooding at the site or the level of the Mississippi River, which is too high to ship out barges, which is our primary outlet there. So that alone adds back in a pretty substantial amount of volume. Those towns are in high demand. That’s really good Northern White quality sand. So those two things taken together give us a lot of confidence, plus all the contracts that we have. So the new contracts that we just sign, those are all kicking in. So we feel pretty good about our volume level. As I said earlier, pricing is outside of the contracts is always a bit of uncertainty and so we’ll watch that closely as we get through the quarter here.
George O’Leary: Okay. That’s super helpful. Thank you, Bryan. And then my second question actually follows on the end of your response. Just on the Northern White front, clearly a really strong first six months of the year versus what we saw in the fourth quarter last year. Would you see – you’ve seen so far in the third quarter on a leading edge basis around Northern White frac sand pricing? Our understanding is maybe starting to turn down as frac activity trends down, but given you guys have boots on the ground, curious for your thoughts there.
Bryan Shinn: Yes. That’s not really what we’ve seen. We were up in Q2 3.5%, 4% in Northern White sand pricing. And I feel like, pricing looks pretty strong in Q3 here. Again, I think it depends on how you’re situated from a logistics standpoint. We happened to be particularly advantage. So we can get to more places than most of the competitors that we have. And also we’re starting to sign more and more Northern White sand contracts. And so, it gives us, I think, better visibility into the pricing there. So I’m feeling pretty good about both the volume and the pricing for Northern White sand as we head into Q3 here.
George O’Leary: That’s great. I’ll sneak in one more if I could. It seems like the contracting commentary you gave is certainly promising. Do you have any instances you can point to and I’m not looking for specific customers instance, as you can point to where customers are actively shifting away from certain grades of in-basin sand and maybe they walked away from Northern White once upon a time and now they’re walking back to it. Are you guys seeing that at all in any basin that stand out in particular, where that’s playing out?
Bryan Shinn: Well, I think the one where – it’s just starting is in the Eagle Ford. As I mentioned earlier, that’s the one where – if you look at the volumes that Northern White sand volumes actually declined a little bit for us in the Eagle Ford in Q2. And I think that’s in response to all the startups of the new mines that happened in Eagle Ford recently. And as customers have tried that product and seeing the results from their wells, it feels like they’re starting to come back to Northern White sand and we’ve had conversations with a couple of the energy companies, big players in the Eagle Ford, in particular, we’re now saying that they only want Northern White sand for their wells. So I feel like Northern White will definitely make a pretty nice rebound in South Texas.
George O’Leary: Thank you very much for the color, Bryan. Good quarter.
Bryan Shinn: Thanks, George.
Operator: Thank you. Our next question comes from the line of John Watson with Simmons Energy. Please proceed with your question.
John Watson: Thank you. Good morning.
Bryan Shinn: Good morning, John.
John Watson: Bryan, I thought the new initiatives you called out on SandBox in the release were interesting. And I was wondering if you could elaborate on the bigger boxes you mentioned. How many tons did those hold and can you also just speak to what opportunity increasing the size of your box presents?
Bryan Shinn: So the boxes will typically hold 10% to 12% more volume than some our older boxes. And the benefits there are a couple, obviously, your trucking expenses relatively fixed. So you pay the driver, the same amount – you have to pay the same amount for the chassis and to rent the cab and all that. So to the extent, you can increase your sand for that sort of fixed cost, if you will, that goes around transporting the sand, it improves efficiencies dramatically. And we work closely with our customers to also cut down delivery times as much as possible. So when you put all that together, it just makes us that much more efficient for our customers. And we’re all about preventing non-productive time and given the lowest possible cost to our customers. And so I think, having that as another arsenal, another sort of a gun in our arsenal, if you will, really makes it easy for us to go out and continue to penetrate the market and it gives us even a bigger advantage versus a lot of the competitive offerings out there.
John Watson: Right, makes sense. And am I correct to assume that it’s a low percentage of loads today that are in the bigger boxes that you expect to grow over time?
Bryan Shinn: Yes, that’s correct. We don’t have a lot of the new boxes deployed yet. So we have the boxes and we also have a set with our sand that stand. And so essentially, instead of having the box to sit on top of a conveyor that has a lot of moving parts, the boxes sit on a stand, which had very few moving parts, lower costs to build the boxes and lower potential for failure. So we’re deploying that second generation box and the stands right now.
John Watson: Okay, great. Switching gears to ISP, I apologize if I missed this. I think I heard Don say, that you’re expecting a strong third quarter. But I don’t know if I heard a volume number. What should we be expecting for volumes in the third quarter? And specifically, what type of contribution should we be expecting from the Millen site?
Bryan Shinn: So I think the – when you look at the volumes in the third quarter, they’re going to be up just slightly. And I think you’ll see the contribution margin per ton, perhaps be down just a little bit. We had some – kind of some one-time benefits maybe for dollar per ton or something like that, for some energy surcharges that we pass through to customers in Q2, which won’t repeat in Q3. So when you do the math on that, it’s sort of net-net, it’s neutral. So I mean, we’ll see flat contribution margin dollars in industrials in Q3. In terms of Millen, we’ve just started that facility up. We started to produce some of the initial tons there. So I don’t think, you’ll see a whole lot of additional contribution margin in Q3. But going forward, as we get into Q4 and Q1, I think you’ll start to see some benefit from Millen in there now. In some cases, we were already selling these products, but we were having them toll manufactured. So what you’ll see is, not necessarily volumes go up, but you’ll see our costs come down dramatically. In many cases, we were having these products toll manufactured in Europe. So you can imagine the added cost to have to ship raw materials there, should finish product back and deal with all that. So I think you’ll see some good cost takeout on the industrial side of our company.
John Watson: Very helpful, Bryan. Thank you. I’ll turn it back.
Bryan Shinn: Okay. Thanks, John.
Operator: Thank you. Our next question comes from the line of Lucas Pipes with B.Riley FBR. Please proceed with your question.
Lucas Pipes: Hey, good morning everyone. I wanted to follow-up a little bit on the potential closures in the Permian. Bryan, could you kind of share your thoughts as to what distinguishes has and has not. Is it transportation, is it mesh size, location? What do you think makes the difference between a mine that is going to stay open and one that is going to be closing? I assumed cost curve is pretty, pretty flat there. So would appreciate your thoughts.
Bryan Shinn: Sure. It’s a great question, Lucas. I think, there’s a couple of things that the first and probably most important is location. So that’s one of the things that you can’t change and you can’t really improve. And so, if you pick the wrong location in terms of proximity to the well activity, it’s hard to fix that. And it’s not just proximity, but you have to think in terms of driving distance. And so if you have to drive an extra hour or two hours on a round trip basis, that adds substantial costs to your offering, ultimately as the customers perceive it. I think also the ability to turn trucks and get them through your site very quickly. Customers are looking at that closely right now, because at the end of the day, if a truck has to sit for an extra half hour or an hour at a mine side waiting to be loaded, the customer ends up paying for that, in terms of emerge. I think, we’ve also seen some pretty inconsistent operation from a number of the sites. In some cases, that the quality has not been good, properties like a turbidity, which kind of measures that, if you will, the dustiness of the sand has not been good. And some of the cost structures that our competitors have just aren’t very competitive. They haven’t been able to figure out, how to get their mining costs down. Maybe they leased the land instead of bought it. So maybe they have a $4 or $5 per ton lease payment that have to add on and things like that. So there’s a lot of things that differentiate as you said, the have’s from the have not’s.
Lucas Pipes: Very helpful. Thank you for that. And then in Northern White, you mentioned that region is experiencing somewhat of a comeback. And in your opinion, is it a specific mesh size, that is seeing a resurgence in demand? What do you think it is also related to maybe some other factors? I would appreciate thoughts. And then lastly, you’ve seen a lot of production cuts, in Northern White, do you expect any of that production to come back? Thank you very much.
Bryan Shinn: Sure. So I wouldn’t say it’s a particular mesh size. It tends to be different by basin. So if you look at, let’s say the Northeast, 100 mesh and 40, 70 are very popular there, if you get out into the Bakken or the DJ Basin, and maybe it’s 30, 50, or 20, 40. So it kind of varies by basins. And in terms of capacity cuts there, we’ve already seen about 30 million tons of Northern White sand capacity be idled. I think, depending on how this resurgence goes, either things kind of stay where they are or perhaps as another 5 million to 10 million tons that come out. And those are still that the non-competitive tons. And I think one of the things to emphasize here is we have multiple mines, so we can take advantage of that and be competitive to all these different basins. If you just have one mine site, like a lot of these kind of lingering competitors do. It’s very hard for them to be broadly competitive. We can move things around. And in particular, some of our Northern White sites also have industrial businesses that we’ve cultivated over the years. So that gives us ability to flex things up and down in Oil & Gas in a way that, if you’re a single mine Oil & Gas focused, you just can’t do.
Lucas Pipes: Very helpful and I appreciate all the color and best of luck.
Bryan Shinn: Thank you.
Operator: Thank you. Our next question comes from the line with Saurabh Pant with Jefferies. Please proceed with your question.
Saurabh Pant: Hi, guys. Good morning.
Bryan Shinn: Hi, good morning.
Saurabh Pant: I wanted to talk a little about SandBox. So you guys talked about increasing competitive pressures, the potential of some pricing raise in the back half of the year, right, with that is the backdrop, right, just strategically, how do you think about your own strategy? What do you think if pricing will down, whatever, 5%, 10% kind of a number, right? Just theoretically speaking, would you like to chase that pricing down and maintain market share or would you rather be willing to set out and lose a little bit of market share? Because I would assume part of that loss would be temporary.
Bryan Shinn: Yes. So it’s a really interesting question. The competitive pressure that we’re seeing ironically is not in the containerized area, containerized sand delivery. It’s more on the silo side. So we’ve seen a couple of new entrance into that space. And I would say that in general is sort of pressuring prices, but what we’ve found is that most customers who like containers will sort of maybe threatened that they’re going to switch to silos, but at the end of the day, they really won’t do it. So we’ve seen some pricing pressure look customers always want to a lower price, but I think we have value to offer to our customers on the containerized side in a way that the silos can’t really match. And so that’s why more and more customers are converting to silos. We’ve picked up another two points of share this quarter. So I’m not really interested in chasing price down. With that said, we have looked at doing business with and I’ve started to do business with some very large energy companies. And that kind of volumes that they bring and the overall value of those accounts would potentially, command at a lower price. And so I know, there is a relationship between the amount of business you do with the customer and the type of price they expect. So I think that’s more of the type of pricing that we’re interested in looking at as opposed to just chasing competitive pressure from silos or something like that, if they come in and make a low ball offer, I don’t think we’re going to chase that down. We want to maintain our margins on the SandBox side.
Saurabh Pant: Right, okay. That’s helpful. And then, I know you haven’t given a lot of color on the contracting side, right. But you’ve press release some of the large contracts that you won. again, on the SandBox side, the Halliburton contract started early last year, the [indiscernible] contract started early this year, right. But again, we don’t have a lot of color as to the terms and conditions of those, right. So I’m sensitive to that, you cannot disclose everything, right. But how should we think about the potential risk of some of these contracts and some of the other contracts that you have signed potentially rolling over, coming up for renewal, back half of the year, early next year, right. And some associated pricing risk along with that, right. How should we think about that?
Bryan Shinn: So our contracts have held up remarkably well, given the ups and downs in the oilfield over the last a year or two. I think that, we either have a capacity reservation fees that most of these customers have paid to us. And we already have their money in the bank, if you will. And the way they get it back is by buying sand from us. So that’s the most secure. But then we also have a number of contracts with a pretty firm, take or pay penalties. And what we’re seeing so far is that, that structure in both of those contracts has kept us in the customer’s a very well aligned. And that’s really the purpose of the contract. Occasionally, we do collect take or pay penalty year or someone has to forfeit a CRF. But I feel like, we sort of both lost if we have to do that. So we’re always looking for ways to stay aligned and work together. But, I think the contract attract structure that we have is the best that we’ve had in the 10 years that I’ve been here at U.S. Silica. So I feel pretty good about it.
Saurabh Pant: Right. Bryan, just to be clear, I was thinking more on the SandBox side, right, I am assuming all of that more or less applies to the SandBox contract as well.
Bryan Shinn: Yes. It’s similar, right? I think on SandBox, the other thing is that we have an offering that is somewhat more unique. I believe on the sand side, it’s harder to differentiate in some ways. We have better service and we have the right network and all those things. But, at the end of the day, the sand sort of relatively, it’s the sand and sand in some cases is not that much differentiated from our competitors. SandBox is a very different animal. So for example, the big job that we called out in South Texas in the press release – in a press release – sorry, in the earnings call, prepared comments. It was a massive job, one of the biggest ones that’s ever been done in the industry. And the energy company told us, look, we could not have done this job without you. You’re the only last mile provider because of the way your company is structured and value that you bring. You’re the only one that could have done this. So those are the kind of relationships that we want. And I think continuing to delight the customers on the SandBox side and do things that no one else can do is probably our best assurance of a continued business as opposed to contracts and we have contracts in that. But what I really like about SandBox is we have a much better ability to differentiate our service and our offering as compared to just the – at the sand side of the business.
Saurabh Pant: Right, right. That makes a lot of sense. One last one for me quickly, on the West Texas side, right, you pointed to pricing continuing to come down. If I remember correctly, I think 80% or more than 80% of your West Texas volume is under contract. So I’m assuming the pricing that you are getting on your volume is significantly higher than the spot pricing with compare to a fall in at least for 100 mesh in that low to mid teens range, right. I’m just trying to think, how much more are you getting worse the spot and what’s the risk that over the next couple of quarters, your pricing comes down to at least closer to where spot pricing is, right, just trying to assess that risk.
Bryan Shinn: So I would say the contract pricing is generally a bit above spot, but the spot moves around quite a bit. And again, I think it comes down to the value. As long as we continue to be the kind of the low cost provider there and as long as we continue to have, say the fastest truck turn times will command a premium in the market. Also, our teams are working very diligently to continue to reduce our costs in West Texas. I think we have more to go on that. And so, my hope is that even if there is some downward pricing pressure over time, we’ll be able to continue to take out cost. So that our margins stay relatively flat.
Saurabh Pant: Okay. Okay. That’s helpful. I’ll turn it back. Thank you.
Bryan Shinn: Thank you.
Operator: Thank you. Ladies and gentlemen, that concludes our question-and-answer session. I’ll turn the floor back to Mr. Shinn for any final comments.
Bryan Shinn: Thanks, operator. I’d like to close today’s call by reemphasizing our confidence in the strength of our business and our ability to generate free cash flow in the coming quarters. We remain very excited about the prospects for our company and are committed to reducing our leverage as discussed today, and I look forward to discussing our plans with our investors and analysts at the many conferences that we’ll be attending in the coming weeks. Thanks for dialing in and have a great day everyone.
Operator: Thank you. This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.